Presentation: 
Operator: Good day, everyone. Welcome to the Hubbell Incorporated second quarter results conference call. Today's call is being recorded. Now, for opening remarks and introductions, I would like to turn the call over to Mr. Bill Sperry. Please go ahead, sir. 
Bill Sperry: Thank you and good morning, everyone. Welcome to Hubbell's second quarter earnings call. We know it's a very busy day, so we'll try to be concise. It's a special call for us as we're speaking to you from our new headquarters building and we hope you come visit us soon here. I'm here this morning with Tim Powers, our Chairman, President and Chief Executive Officer; Dave Nord, our Chief Financial Officer; and Jim Farrell, our Director of Investor Relations.  Hubbell announced its second quarter year-to-date 2010 earnings this morning and hopefully you've found that press release on the wires and on our website. You also find presentation materials on our website that Tim and Dave will be referring to during the call.  Let me know for everyone listening to the call, the paragraph and the press release and in the materials regarding forward-looking statements. The press release and materials may contain expectations based on assumptions and Hubbell's performance in the future, particularly regarding our earnings. We also may make some comments here today on the call or answer questions, which may include forward-looking statements.  All of these involve inherent assumptions with known and unknown risks, and other factors that can cause our actual or future results to differ, perhaps materially from what we may discuss or project today. So please note that paragraph in our release and I'd like to consider it incorporated by reference into the call this morning.  In addition, we may make reference to non-GAAP financial measures. Those measures are reconciled to comparable GAAP measures in the Appendix on the presentation materials. And with that, I'll turn it over to Tim. 
Tim Powers: Thank you, Bill. Welcome everyone and thank you for joining us this morning. As we typically do on our quarterly calls, I will provide you with some overview commentary on the results we announced this morning and then Dave will walk you through a detailed discussion of our financial performance. Then I will share my perspective on the outlook for the remainder of 2010 and some closing remarks. We will open it up and take some questions from you.  We refer to the presentation material you can find on our website. I am starting on page three. Our strong financial results in the second quarter are reflective of performance in our end markets that was better than our expectation. Residential construction market has improved year-to-date, but remain soft in the near-term as available tax credits expire. I expect the market to slowly make the turn upward as we proceed through the rest of the year. Our industrial end markets grew significantly in the quarter. Positive signs we have seen watching improving capacity utilization and manufacturing production have been felt across many of the industrial segments we serve. On the utility side, the return to growth and electric demand experienced so far this year has been a welcome development. This is enabling our utility customers to spend their capital budget on maintaining their networks to drive reliable performance. We believe some inventory restocking is occurring and there is some anticipation of an active storm season in the channel. The result for us was a large sequential uptick in our utility business and a return to levels consistent with our expectations. The non-residential market continues to decline, but less than we anticipated. The two bright spots are public spending and the need for more energy efficient lighting. Energy efficiency is diving strong growth in three key product areas for us, building automation and controls, solid state and lighting and retrofit lighting. An update on Burndy would be appropriate here. This is the third quarter since our acquisition and Burndy is performing as expected and the integration has gone well. Top line performances consistent with comparable Hubble end markets and the margins are being realized as we plan. So, good news on the Burndy front. Another note worthy item is the successful consolidation of several wiring system locations and our corporate headquarters into one building. The wiring team combined our executive offices, engineering and sales and marketing, which had previously been in three locations. The new setup saves money, enhances communication and team work. Let's turn our attention now to some recent developments in the news. The first item is the concern that many of you have had about the economic situation in Europe and the impact that it will have on us. Our European based operations generate less than 10% of Hubble's total sales, but these units are selling around the world. The percentage of volume going into Europe is much smaller. The second issue is the oil spill in the Gulf of Mexico. Our harsh and hazardous business has a strong presence in the energy markets in general and the offshore drilling markets, specifically. A ban on Gulf drilling would be a temporary small negative for us, but most likely that capacity would be shifted to other parts of the world, where we would hopefully follow. A third topic is our global supply chain. In general, our suppliers have responded very well to the downturn we've face, but we are feeling some constraints. Most notably, in electronic components including lighting ballasts that are in short supply and will likely take a few months to smooth out. The impact on Hubble maybe delays and service levels, but are lead primes [ph] remain unchanged and the ultimate demand will be satisfied during the fiscal year, so we do not expect any financial impact. Clearly, today's business condition present us with a fairly dynamic operating environment. We remain focus on managing price, cost and productivity. I have to say, it is very encouraging for us to see our hard work on productivity payoff, namely, a better than 300-basis point improvement in margins for the quarter. Productivity involves everything from capacity reduction to streamlining the manufacturing process and redesigning our existing products. I am proud of our team for delivering on this diverse set of initiatives. We have traction in all areas and there is opportunity for improvement ahead. We continue to improve our positioning of the company to succeed in the future. There are a couple of additional developments worth mentioning. On the international side, the first power system products rolling off the assembly line in our new factory in China. This is an important new facility for us, with a very competitive cost structure and a significant opportunity to expand. On the new product development front, we have had some exciting winds in the solar energy area. Our anchor systems were recently selected on the second largest installed solar firm in the U.S., a project capable of providing enough electricity for 7,500 homes. We are looking forward to continue success and serving client needs as our technologies are applied to renewable energy market. In summary, we have had a strong quarter moving forward in both the markets and our financial results were better than plan. But let me hand it over to Dave to give you the details. Dave?
Dave Nord: All right. Thank you, Tim. Good morning, everybody. I'm going to start, take you through some of the details on the webcast slides starting on page four and a little bit of color. First on second quarter sales and gross margin, as we reported sales are up 11% from the second quarter of last year with Burndy contributing 9% to that 11%. The non-residential, we've got some continued weakness there, although as Tim mentioned you're not as bad as we anticipate it at least so far this year, and I think within the quarter a little bit stronger performance in the industrial sector as well as on residential, at least in the quarter. That lead to gross margin, reported of 32.6% up 280 basis points and the big contributor to that is obviously the productivity gains as we continue to work those issues over a long period of time as well as some of the benefits from last year's cost reduction actions. Of course, offsetting that is a little bit of unfavorable price against commodity cost. We went into the Euros expecting and targeting to maintain parity as is our case, but with a little bit of risk on price and some commodity headwind that was a bit negative in the quarter. But the good news is we're more than able to offset that with productivity gains as well as some of the absence of the cost that we incurred in the second quarter of last year for workforce actions and some inventory adjustments. Turning to page five, selling administrative cost up just under 10 million to 117.5 in absolute terms, but as a percentage of sales down to 18.2%. Burndy, obviously, contributing to the incremental dollars and as we've said in the past, Burndy runs it a little bit higher S&A rates, just from their selling efforts, but offset that with lower restructuring cost and the ongoing cost reduction action. So, all that contributing to our operating profit in the quarter of 93.5 million, 14.5% of sales that increases largely relative to main items, productivity, largely contributing three quarters of that, a gain – Burndy in absolute terms contributing another quarter of that gain. Now, of course, there's other things that go on in there and we've got the price cost negative, which was just under 9 million in quarter and that is offset by some of the cost that we incurred last year second quarter for restructuring and inventory. So, a very good story on operating profit and margin. Net interest expense, flat year-over-year at 7.5 million, no significant change in comparable borrowing levels, lower interest rate environment and even some of the short-term borrowings we incurred to fund Burndy were in the latter part of the year and were all repaid with the proceeds from the equity offering in the fourth quarter. Our tax rate does reflect an increase from last year to 32.3% that providing a little bit a headwind principally due to the lack of the extension of the R&D tax credit that continues to be on the agenda in congress, but keeps getting pushed out. We expect that that will occur or certainly hope that will occur sometime later this year, but very uncertain legislative environment relative to taxes. So, that leads us to page seven, net income of 57.6 million in the second quarter up 46% from the second quarter of last year all due to the higher sales, our increase operating income and our higher offset by our higher tax rate giving us earnings per diluted share of $0.95 compared to last year's second quarter $0.70, that's up 36% and of course, that also includes the dilution from the additional shares issued in the fourth quarter. So, all in all good results. Let me know turn to the segment. Give you a little color on the segments first. The electrical segment on page eight, sales of 458 million up 15%, Burndy, the biggest contribute to that adding 13% and of course, we have the continued weak non-residential, but with improvement in industrial and residential within the segment. Good performance in the wiring business, a lot of that attributable to strengthen the industrial sector with sales up 16%. The electrical product business, a mixture where a lot of our industrial businesses both in the pure traditional industrial business, whether it's wiring devices or controls, a lot of good double digit growth there, but mitigated by some of the other businesses that we include in our industrial sector, particularly the high voltage business, which is down year-over-year, but expected to recover in the second half. And the lighting business overall, sales down 5% that's the combination of the commercial industrial business down 9% offset by the residential business being up 11%. On the operating profit side, operating profit in the segment of 61.1 million giving us operating margin of 13.3%, a very impressive improvement from last year, 540 basis points. A big contributor to that is the productivity gains, both the cost reduction actions as well as some of the ongoing activities to wrap that segment and particularly, lighting and wiring device businesses as we reduce cost, close facilities and improve our overall cost structure. [Inaudible] Burndy contributing incremental profit there and then some of the lower restructuring cost compared to the second quarter of last year. Turning the page to the power segment. Second quarter power segment sales of 188 million up slightly from last year and that reflects improve spending on the distribution product side, which is coming from construction, MRO and housing that growth being in the mid-single digit range with transmission side of the business, a smaller part of that business impacted by some slowing of the larger transmission projects, but we think that will see some improvement as the year progresses. On the operating profit side, operating profit of 32.4 million down 8% from last year's second quarter, but still maintaining good high [inaudible] of 17.2%. That declined despite relatively flat volume, attributable largely to what is the one segment that has the most significant impact from unfavorable price and commodity cost. The area we expected the most challenge in pricing and we saw early in the year, more importantly most impacted by the spike in some of the commodity cost particularly steal and copper that will begin to mitigate itself as the year progresses, as the cost of the commodities has moderated and as we have implemented price increases across all of our businesses. Also included and impacting the results or some [inaudible] associated with consolidating facilities. A couple of facilities that were part of or acquisitions several years ago are in process of being close and so those cost are included, but offsetting all that is some productivity, good productivity gains. So, all in all a good performance in an improving market in power. Starting to cash flow on page 10. You see our free cash flow, that's cash flow from operating activities less CapEx of 58 million, just about 100% of net income, which is our target to meet or exceed. A good improvement from the weak start that we experience in the first quarter, obviously, not at the levels that we had in the first quarter of last year as we were liquidating inventories and receivables and bringing the cost down. We have somewhat the drag in the quarter this year, coming from working capital, principally accounts receivable as the volumes starts to come back and a little bit of inventory as we manage through recovering markets and some of the supply chain issues that many are experienced in the market. And then our capital expenditures of 11.2 million up from last year's 5.7 back to a more normal level of capital expenditures that we expect to incur and invest in the business. Let me turn now to how does that result in our year-to-date performance through June. So, we've got sales year-to-date, good recovery from what was a weak first quarter as we expected mixed by end market as well as we expected with industrial and residential up, non-residential down and of course, power business down in the first half because of the weak start, but clearly expected to improve as the year progress at least on a year-over-year comparison. Improved order trends continually a build in backlog, with backlog up 42 million, yes, up 42 million. As always productivity actions are the key driver and we're realizing those benefits, trying to navigate through the unfavorable price cost impact in the first half, most significantly in the second quarter, but combined down 11 million, which is worse than expected. And so we've had to offset that with, a lot of it more attention on the productivity and of course, a very bright spot is Burndy performing very well. So, first half results better, slightly better than our expectations with margin improvement on lower organic sales. You see that on page 12, our sales year-to-date of just over 1.2 billion, up 4% that's got a 8% contribution from Burndy, two points from currency and the rest being attributable to volume. So, despite that core underlying volume weakness in the first half, 250-basis point margin improvement to 13.1% in the first half giving us earnings per share of $1.59 against last year's $1.30 up 22% and free cash flow short of our goal of 100% of net income year-to-date, but very much expected to recover in the second half. So, the segment results in the first half on electric gold sales that are up 9% to 867.7 million with Burndy adding 12% offset by weak non-residential markets particularly in lighting, and within the industrial sector, lower high voltage test equipment but that business is also significantly project oriented and so the results are very lumpy. Again, we expect that business to finish the year at or slightly above last year's level, so we expect good performance in the second half. Operating profit of 101.2 million up 72% from last year's first half with operating margins in the electrical segment for the first half of 11.7% up 430 basis points. The biggest contributor being the productivity gains, the contribution of incremental profit from Burndy and then some of the lower restructuring cost, actually more than offsetting the negative impact of price cost. On the year-to-date basis for the power segment on page 14, sales of 349.2 million down 6%. The utility spending gradually improving so that comparison will clearly improve as the year progresses. Our orders exceeding our billing, so a little bit of backlog billed, which flood some support for our second half forecast. But, of course, dealing in the first half with lower storm activity and that's always a wild card as we look out into the future depending on the weather forecast. Operating profit of 58 million for the first half down 11%, but still with good margins of 16.6 percent and the first half being the most significantly impacted by the unfavorable pricing commodity cost as well as the lower volume with a lot of it being offset by productivity, but not all of it in the first half. So, first half cash flow of 70.8 million, free cash flow, down from last year, but certainly improving and on track to get back to our target of free cash flow equal to or exceeding net income. And I think you can see that clearly on page 16, a little bit of a quarterly trend on two elements, key elements of working capital. First on receivables, obviously an increase in absolute dollars of receivables as the market recovers or sales recover, but importantly an improvement in days outstanding – our credit quality is very high. It continues to be at record levels, so that's the good news. There is some increase in the days outstanding managing through the growth but we expect that as it typically does to be continually improving on a seasonal basis throughout the year and getting down to a more normalized level by the end of the year. Inventory as well, 276 million at the end of the quarter, up 6 million in the quarter 13 million year-to-date, but importantly the improved four days from last year in days outstanding. So, all of that gives us confidence in our ability to meet our target of free cash flow equal to net income. Turning to page 17, just a quick summary on our capital structure, not much change other than continued improvement, no [ph] with good cash flow, increase in cash from year end of 29 million, a slight increase in our total debt to 504 million, that's $7 million increase largely due to some incremental death in a foreign location put in place for operating funding as well as tax advantages. So, all that leads to a very strong capital structure with that the Cap of 27%, net debt to Cap of 10%, very good, giving us a strong conservative position to continue to pursue acquisition opportunities. So, with that let me turn it back to Tim; give you some thoughts on the market outlook.
Tim Powers: Let's turn to page 18 in our outlook for the remainder of 2010. In the residential markets, we expect to see 5 to 10% growth, while we recognize that some of the recent monthly data on housing and home sales were disappointing, we believe that these are bumps that should be expected along the road to recovery that should provide us with growth for years to come. For our utility market, we expect modest single digit growth and the second half for us should be more favorable as we will comparing to last year's soft levels when utilities were grappling with declining demand. They all have also done cost cutting and are in a more solid financial position. That said, the transmission project works continues to get pushed out as it appears that rate cases in front of local TUCs are meeting with uniform resistance. The strength in the industrial markets should provide us with mid-single digit growth this year. Many of our core served markets and manufacturing sectors will do better than that, but our harsh and hazardous and high voltage test business will dampen those games. Non-residential construction is our largest, most diverse market and is proving difficult to predict. While private buildings starts are expected to remain weak, the benefits of some public spending and the growth provided by retrofit projects are providing some counterbalance. Therefore, our outlook for 2010 has improved. The net impact of this outlook from Hubble's end markets combined with expected new product development and market share gains is a fairly flat sales level on our base business, but will lead to a 4 to 6% growth when we include the incremental contribution from Burndy. Now, let's turn to page 19 for some concluding comments before we take a few of your questions. The return on sales growth is a clear positive for our financials. In addition, our strong focus on productivity will continue to drive margin expansion. These improvements will be needed to overcome the negative cost price environment we face. The net result is growing top line with margins expanding by at least 1% of sales. So, with that we would conclude our presentation and be happy to take questions from you.
Operator: (Operator Instructions) We will take our first question from Chris Glynn from Oppenheimer.
Christopher Glynn – Oppenheimer: Thanks, good morning.
Tim Powers: Good morning.
Christopher Glynn – Oppenheimer: Question on I guess mix in the electrical segment, the high voltage and even the harsh and hazardous little pressured in the first half. You talked about being up year-over-year in the second half, I think, but is that actual sequential improvement? Would we expect that are mix and electrical in the second half?
Tim Powers: I would expect the third quarter to be like it traditionally is a little bit higher than the second and the fourth quarter to be a little bit lower as we end the construction season, but probably a little bit more revenue in the first and total.
Christopher Glynn – Oppenheimer: Okay. And then just looking at the balance sheet and perspective lower growth environment for the economic outlook, do you have any thoughts on industry consolidation on a larger scale as oppose to the traditional kind of both on acquisitions?
Tim Powers: I don't really have any specifics on that, but certainly we continue to look for our typical acquisitions. We have quite a few opportunities we're looking at now. You just can't tell if you can get those done or not as is the typical story, but I really don't have any comments on specific to your question about larger combinations.
Christopher Glynn – Oppenheimer: Okay and then just last one, Tim. What are you seeing on the early signs of industry price increases in the lighting space, holding in the marketplace?
Tim Powers: I would say we would expect to see a little bit on the stock side, whereas you can expect with volumes, word is it's kind of tough to get much in the way of price on projects, but we're trying. I think our margins in lighting and just about every single one of our brands has improved and part of that is some small incremental pricing. But I would say the larger the project, the tougher the price environment and I would also characterized the market as much more public sector than typical. So, again, on the private side of non-res, this is very tough side of the market.
Christopher Glynn – Oppenheimer: Yes. I guess what's called the public sector stimulus potentially. What's your kind of sense or thoughts on the duration of that?
Tim Powers: We believe that that will continue through to 2011. As you know it took forever to get this started and I think there is the best of intentions to spend the money, so I think the benefits from that will continue on for the next 18 months.
Christopher Glynn – Oppenheimer: Great. Thanks a lot.
Tim Powers: Yes.
Operator: We will take our next question from Scott Davis from Morgan Stanley.
Scott Davis – Morgan Stanley: Good. Good morning, guys.
Tim Powers: Good morning, Scott.
Bill Sperry: Good morning.
Scott Davis – Morgan Stanley: I know you guys are on LIFO and that's been an issue in the past and kind of industry pricing because some of your competitors are FIFO. But is there a sense to kind of how to quantify that in the quarter and then, I guess the natural follow on question is your average price increase is it more of a May 1, June 1, July 1, or somewhere in between?
Tim Powers: But let me just go back and address the pricing. The pricing really on our part, really never reflects our inventory accounting practices, but more the real inflation and of course, we see that inflation immediately because of the nature of our accounting. But going to market and trying to get the recovery for cost increases is something that we do as we see it. We have completed all of the price increases that are – we intend to have which I believe are May, June and July. Power systems being the July 1, so we have attempted as best as we can given the weak market conditions to recover the commodity cost increases, but as you can see while last year was a positive, this year is still a little headwind, which we expect that price will moderate a bit as the year goes along.
Scott Davis – Morgan Stanley: I think that partially answers the question, but let's move on utility because I think it's important. I understand the rate increase challenges for the youths [ph] but my understanding is electricity man [ph] has picked up materially and there has been a fair amount of storms in the Midwest and obviously, some heat in the Northeast. Has your review kind of if you drill down between distribution and transmission and understand that transmission tends to be more impacted by kind of the rate increase and distribution more by the other impacts. Can you think about how that your outlook hasn't change since the April call, but how does two pieces have changed?
Tim Powers: I would say that when we're talking about transmission projects, we're talking about 2011 and we're optimistic that even with some of these delays that enough of these projects will get approved so that 2011 on a transmission side at this point, looks like a stronger year than 2010. But there is a battle when economic situation is difficult for PUCs to allow utilities to execute their plan on a timeframe that the utility would like to do it. So, I don't think that we're seeing shelved, I think we're just seeing a slowdown in the right of approval and lengthening in the process it takes to get through these approvals in a very tough economy. So, I hope that answered it.
Scott Davis – Morgan Stanley: No. I think it does and lastly, just on non-res construction, you're views and proved a bit and you talked about that. The retrofit, I mean construction site of it we know is problematic, but the retrofit side, we keep hearing from everyone has been accelerating at a rate faster than expected. I assume that's consistent with what you're seeing as well.
Tim Powers: It is and certainly that leads back to the discussion of the ballasts story, where the ballast associated with new high energy efficient for us is really what's in short supply because the demand has accelerated at a significant rate and the manufacturers and suppliers are just having a tough time keeping up with it. So, that's just an indication of the ramp up there and I think it's only going to improve from the levels that it's at. I think that the new sources of fluorescent light combined with electronic ballast and the rapid expansion of LED lighting and the controls that are added to its older systems really present a positive opportunity for our company as we look forward.
Scott Davis – Morgan Stanley: Okay. Good quarter guys, thanks.
Tim Powers: Okay.
Operator: We will take our next from Jeff Sprague from Vertical Research Partners.
Jeff Sprague – Vertical Research Partners: Thanks. Actually, Tim, just a pickup on your closing part of your comment there, are you implying that you're going to backward integrate in the ballast in some of this solid state components to take advantage of what's going on in the market or you're just talking about all the [inaudible] the supply chain untangles and works itself out?
Tim Powers: We're in a mix mold right now. We buy ballast or as they're referred to as – on the LED side, we buy ballast from others. We buy complete units from other and we manufacture them ourselves. So, we have the most vertical integration we've ever had in this category on the driver side, so we have more value added to contribute there and it's just the spreading of risk as there are so many people in the business now that we want to keep every opportunity available as this technology is advancing and we're pretty pleased with the partners that we have and also our own capability to make the product.
Jeff Sprague – Vertical Research Partners: Okay. Just want to comment about the oil spill and the impact. I may be mistaken but I thought Killark and your kind of explosion proves heavy duty products were only [inaudible] of qualified products and if those rigs go elsewhere, maybe in an IEC world you can't play. Am I incorrect about your product offering there?
Tim Powers: Killark is predominantly as you describe, but then we have Hawke, which is Cable Glands, which are IEC and we have Chalmit Lighting and we also have Gai-Tronics for the safety systems on rigs, which are applied to all standards. So, it's just Killark that would see a little bit of softness if the Gulf slows.
Jeff Sprague – Vertical Research Partners: Okay. Can you or Dave, can you just give us specifically what the effects; impact was in each of the two segments?
David Nord: Sure. On volume, it was about 1% incremental in both electrical and power.
Jeff Sprague – Vertical Research Partners: Okay. And can you give us color also on realized price in both of those segments?
David Nord: Sure. Price, overall, was down about 3 million, and it's split about a third in electrical and two thirds in power. So, actually one of the earlier questions around the cost and inventory, I mentioned that there was 9 million of cost price headwind that the combination of 3 million of lower price and 6 million of higher cost, just to try to size the order of magnitudes, the commodity cost headwind and that negative price is what we are expecting to turn around to be a positive contributor in the second half.
Jeff Sprague – Vertical Research Partners: And what percent now – I'm sure it's changed given the downdraft, but what percent of your total non-res business would you say is actual, office-type commercial construction, new build these days?
Tim Powers: That Jeff would be – that's a number that I couldn't give you because we don't track it that specifically because some sales happen directly from the distributor and would not be on a project where we could keep score, knowing where the end location is.
Jeff Sprague – Vertical Research Partners: Yes.
Tim Powers: But I can tell you that the general numbers that you see about to decline in office construction would be very reflective of our market share decline and that's our volume decline in that side.
Jeff Sprague – Vertical Research Partners: Okay. All right, terrific. Thanks a lot.
Tim Powers: Yes.
Operator: We will take the next question from Bob Cornell from Barclays Capital.
Bob Cornell – Barclays Capital: Just looking at the electrical business, guys. Is it fair to say that the Burndy margins are above the average, maybe well above the average, maybe you could help me get a perspective there.
Bill Sperry: No.
Tim Powers: No. The answer is Burndy is almost up to the average, but not quite …
Bob Cornell – Barclays Capital: Okay. The …
Tim Powers: A lot of improvement in wiring device, some improvement in lighting. So, I mean a strong contribution from just about everywhere.
Bob Cornell – Barclays Capital: These are my next question; I mean in lightning we made only structural changes. I mean are you happy with the way the [inaudible] even though obviously is still tracking down, but I mean how comfortable are you with that restructure business looks at this point?
Tim Powers: I'm very pleased with our lighting business, still in the difficult market it faced. We expect that its margins will improve year-over-year in line with 100 basis points that we talked about for the average. They're doing a great job of reconsolidating their shrinking their footprint to the size of the market. They've gone through a number of product, re-designs to take cost out and as our progress lighting business makes the turn, it's already performing significantly better on the margins side with very little volume increase. So, it's got a lot of upside potential if we can just a little bit more volume from the market.
Bob Cornell – Barclays Capital: Yes. [Inaudible] takes me to the direction I'm going here, because what I'm really looking forward is what do you consider your normal earnings power now on the electrical business given the contribution to Burndy, I mean. I guess the March thought that I know, but they have historically been. What would be your view that of the normal profitability of the electrical business, mid-cycle type of thing in margin.
Tim Powers: We're not really sorting it out between one segment or the other, but I would reiterate our objective, which were approaching now, which is 15% operating profit over a business cycle meaning that as we get towards the upper end of the business cycle, we would exceeding that number …
Bob Cornell – Barclays Capital: Yes.
Tim Powers: And I would say right now, our performance is very good because we prepared for market that's worst than we're seeing. So, we have reduced our cost substantially and now, I think you're seeing some of the incremental profit start to flow as volumes are just a little bit better than we anticipated. So, I think we're performing very well and I would expect that to continue with volume that were forecasting for the second half. So, I'm very comfortable where we are in a very low market. So, I think we're quite happy. 
Bob Cornell – Barclays Capital: Yes. I may have missed this because it come up a couple of time, being why anticipating improvement and price cost in the second half of the year?
Tim Powers: Price …
Bob Cornell – Barclays Capital: Price, [inaudible].
Tim Powers: Example, we've implemented a number of price increases May, June, July, we would expect below the average realization due to market conditions.
Bob Cornell – Barclays Capital: Yes.
Tim Powers: But any help there would be beneficial. Further in the third quarter, we're seeing some moderation in steel prices, but a lot of volatility on the other areas like – just when you think copper is beginning to go down, it goes down for about a month and then spikes back up. So, it's a lot of moving around and up significantly from a year ago at this time. So, also when you're thinking about and calculating your performance for us in the second half of the year – you'd have to remember that last year in the third quarter, we had a huge benefit from low cost of commodities and also in the fourth quarter, we had the LIFO inventory benefit. But I would still expect quite strong performance for us in the second half of this year.
Bob Cornell – Barclays Capital: You're final question from me. You mentioned your [Inaudible] is not as really down as it has been, but again the question I would ask is how are the dollars of orders tracking sequentially relative to normal seasonality in non-res?
Tim Powers: They are following the normal seasonality because it really doesn't matter where you're doing the construction; you're still having the typical calendar of the construction years. So, we would expect coming from a low first quarter to much better second and typically, a little better third and then back down in the fourth, so that kind of typical cycle, we would expect to see.
Bob Cornell – Barclays Capital: Okay, thanks.
Operator: We will take the next question from Jeff Beach from Stifel Nicolaus.
Jeff Beach – Stifel Nicolaus: Hi. Good morning, Tim and great quarter.
Tim Powers: Thank you.
Jeff Beach – Stifel Nicolaus: A couple of things the price increases you've mentioned a couple of times, it sounds like it's pretty broad based in power, like I don't know if that's correct. And then is it also, at least the attempts here pretty broad based across, most of your electrical products as well.
Tim Powers: Well, in the utility side, you have – you can announce a price increase, which we did on stocking materials. But you have a number of annual blankets where you really can't modify those prices until the end of the year. some other blankets we have commodity indexes in them, so as commodity cost involved in those specific products move up and down the prices due to, so it's more muted on the utility side, but it will be helpful. On the electrical side, if we look at lighting, like I said before, really tough to get much on. The way of benefit on a project, a little bit on the stock, but if you're business is down around high single digits or 10 percent of something like that, tough market conditions are hard times to get price increases. Some of our other things like where we've been increase price on wiring device and that we will pretty much get all of that. So, it's a mixed bag. But like I said before, you take it on average, is a little bit below what we would realize. So, if you announce three to five or something like that, so you are targeting 4%, you would expect to get 2.5 or 2, you might get 1.5 to 2 that's the kind of expectation we would get with about a quarter lag because we're sitting with a lot of quotes there and you don't always re-price every quote in this time and you're sitting with at least a month worth of backlog at previous prices. So, a little bit help as the third quarter rolls out and more help in the fourth.
Jeff Beach – Stifel Nicolaus: The business is that you used to call industrial technology; I believe had carried wind demands and has good margins well above the Hubble average. I just wondered is the volume back, it's generating above average margins there and is that helping that mix shift, some of the margin improvement you're seeing?
Tim Powers: You would say that our businesses if you know them by name ICD and Gleason are showing improvement, with strong improvement in operating profit and above the average. Our high voltage test business, when we talk about it being down, it has been on a long run peak cycle. Now, what are these high voltage test equipment go is into the construction of transformer, plants and cable facilities, cable producing facilities for expanding infrastructure around the world and this business is the standard, the market leader for all producers and we have been on an extraordinary high run and it's now coming back to just what I would call very good. So, even though it's down a little over the previous year, its margins are quite north of the average in the electrical business. But just because we don't have as much volume it's a tambourine effect but still performing excellently.
Jeff Beach – Stifel Nicolaus: All right. Thank you. The last question with the, I guess concerns about a slowing economy ahead here. When you look across your industrial markets, are you seeing any signs of – that maybe there's been restocking of inventories that potentially ahead here, you could see this industrial sectors slow down from what you're seeing right now.
Tim Powers: I am confident in the second half of the year on industrial markets. The reason I am is, I believe that the auto industry will continue to produce for the second half of the year at a run rate of north of 11.5 million, which will provide a big chunk of the economy to continue to perceive with growth, probably if you're comparing quarter over quarter, certainly not the growth rate that you would have seen in the first half of the year, but still a pretty healthy growth rate. I think the demand for capital goods as we see that happening through our supply to various sets of machinery manufacturers, computer manufacturers is been very, very good and their backlogs are in pretty good shape. The areas of concern for me would be certainly harsh and hazardous and I think the story around the insecurity cause by our administration and politics is more or less a constant over the year. So, I don't really think it's going to contribute more negatively in the second half than the first. So, I think we're pretty much on steady slow improvement in the U.S. and in Canada. And I'm convinced that the moment that the blip in the second half that's predicted will not show up in the end markets that we serve, and maybe on the consumer side, but certainly, non – just think of the levels that we're at. We're at very low levels of operations and all these markets and I don't see or don't predict or don't forecast that happening.
Jeff Beach – Stifel Nicolaus: All right, thanks. That was a good answer.
Operator: We will take the next question from Phil Gresh from JP Morgan.
Phil Gresh – JP Morgan: Hey, guys.
Tim Powers: Hello.
David Nord: Hello.
Phil Gresh – JP Morgan: On the productivity side, I mean could you elaborate just a little bit on what you're doing there and did that accelerate in the second quarter from the first quarter and I know you have some comps there from the second half of 2009, when those started rolling in. So, could you just kind of try to quantify for us, how to think about that?
David Nord: Well, clearly, on a year-over-year basis, the productivity gains or are going to be larger in the first half of the year because we had some fairly significant challenges in the first half of last year from a production ramp down perspective. So, from that calendarization the first half is going to be better than the second half. Productivity gains are better overall than we expected going in because we're working harder at those to offset the headwind that we're seeing from the price cost equation, but I think they're going to continue to frock [ph] very nicely in the second half because we have some of those year-over-year challenges to mitigate, you recall the strength we had in price cost in the third and fourth quarter. So, we're going to have to work through those to be able to be what Tim has communicated as our expectation, then we'll be able to improve our margins at least the point overall. Obviously, a big improvement in the first half, but still needs improvement in the second half in productivity to offset some of those year-over-year price cost comparisons that get more difficult as well as some of the inventory adjustments that you recall, we saw in the fourth quarter of last year.
Phil Gresh – JP Morgan: All right. I guess my follow-up question would then be, I mean you had roughly 10 or 50 basis point increase in the margins in the first half and you're saying a hundred plus for the year, so how should we think about the second half? Are there quarters where it would actually, potentially be flat to down year-over-year or do you anticipate being able to more than offset, you know, the price cost and inventory adjustment headwinds?
David Nord: I would say that there's certainly challenge in both. I think if you go back to last year, the strongest quarter from a margin standpoint was the third quarter because that had the biggest implication of the price cost benefit. So, as we look at – if you ask me, I always think every quarter is a challenge, but I think there's a lot of things that are in place that give us confidence that we're going to realize these things. But I think it's probably equally split between the two quarters. We don't see any of the quarters at this point being down year-over-year, okay?
Phil Gresh – JP Morgan: Okay. That's helpful, thanks.
Operator: At this time, I would like to turn the call back over to Mr. Bill Sperry for any additional or closing comments.
Bill Sperry:
Operator: That does conclude today's conference. Thank you all for your participation.